Operator: Greetings and welcome to the Advantage Solutions Fourth Quarter and Full Year 2023 Earnings Call. At this time all participants are in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] As a reminder this conference is being recorded. It's now my pleasure to introduce, Ruben Mella, Vice President of Investor Relations. Thank you, Ruben. You may begin.
Ruben Mella: Thank you, operator, and thank you, everyone, for joining us on Advantage Solutions' fourth quarter and full year 2023 earnings conference call. On the call with me today are Dave Peacock, Chief Executive Officer; Chris Growe, Chief Financial Officer; and Sean Choksi, Senior Vice President of Strategy and M&A. Dave and Chris will provide their prepared remarks, after which we will open the call for a question-and-answer session. During this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based upon management's current expectations and involve assumptions, risks and uncertainties that are difficult to predict. Actual outcomes and results could differ materially due to a several factors, including those described more fully in the company's annual report on Form 10-K filed with the SEC. All forward-looking statements are expressly qualified in their entirety by such factors. The company does not undertake any duty to update or revise any forward-looking statements, except as required by law.  Please note management's remarks today will contain certain non-GAAP financial measures. Our earnings release issued early today presents reconciliations of these non-GAAP financial measures to the most comparable GAAP measure. This call is being webcast and a recording will also be available on the company's Investor Relations website. We will reference a presentation during the prepared remarks also available on the Events and Presentations section of the IR website. And now I'd like to turn the call over to Advantage's CEO, Dave Peacock.
Dave Peacock: Thanks Ruben, good morning, everyone and thank you for joining us. 2023 marks an important year for Advantage Solutions as we began to execute a strategy to maximize our full potential as a partner of choice to consumer brands and retailers and drive long-term profitable growth. At the same time, we remain focused on meeting the needs of our clients and keeping our promise to shareholders by exceeding our adjusted EBITDA guidance in 2023. We were especially pleased to deliver year-over-year adjusted EBITDA growth and margin expansion in the fourth quarter. Our success in 2023 centers on our teammates across the enterprise who share a hard for service and a relentless dedication to winning together each day, on behalf of the leadership team I thank them for their efforts. I want to take a few minutes to review some of our significant actions to date to enhance value for everyone we touch including our shareholders. We believe these accomplishments will help fortify the long-range plan to create a more unified company with enhanced operational efficiencies through streamlined processes, strategic rigor, agility and improved capabilities. In January, we expanded our executive leadership team and welcomed Brian McRoskey as Chief Growth Officer. Brian joined Advantage after 17 years with Bain where he collaborated with executives in the consumer packaged goods industry to solve their toughest strategic challenges. He will be pivotal in shaping our growth strategy, identifying new business opportunities and driving organizational excellence. We have renewed a service provider agreement with a large multinational retailer and as an expansion of our existing relationship Advantage will also now be their exclusive experiential partner, conducting all sampling and demo events across its many US stores. Our leading capabilities with in-store and digital sampling offerings will help us as we convert more shoppers into buyers as we expand our relationship with this long-standing customer. We executed contracts with several significant customers to continue providing services for them in late 23 and into 2024, demonstrating our long-standing relationships. One example is with a large US retailer specializing in trend for general merchandise. This will mark the 12th year of our exclusive partnership supporting this retailer's beauty category both in-store and online to provide shoppers with more engaging experience. We feel good about the momentum heading into 2024, more than 95% of our key enterprise clients re-upped with us this year with the majority adding new services and many enhancing their respective annual spending. For example, we signed an agreement to leverage the broad range of services, we provide with one of the leading global food, health and beauty CPG companies, where we expanded our scope and are launching key pilot programs, over the course of the year. We also entered into two new agreements, with third-party technology companies to help optimize back office costs in the coming years, reduce complexity and enhance the suite of capabilities we offer clients. The first with Genpact, a global leader in business and technology services, gives us access to their expertise in advanced AI powered technology and automation, which complements our client management capabilities, and connectivity across the consumer goods and retail industries. Separately, we are modernizing our IT support services in collaboration, with an award-winning provider of business services, Tata Consultancy Services. TCS is known for its expertise in digital technologies, innovation and commitment to delivering customer value. They will transform and modernize our IT services to benefit the team, clients and customers. We have also completed several divestitures and continue to evaluate opportunities to simplify our operations further, so we can focus more resources on our core businesses and enable growth. In January, we sold our collection of businesses serving the Foodservice industry, most notably Waypoint to Prospect Hill Growth Partners. The Foodservice businesses were combined with key impact sales and systems, as a part of that sale. Advantage receives a total gross proceeds of approximately $100 million, representing mostly cash and an ongoing 7.5% stake in the new entity, Action [ph] Foodservice. The sales further streamlines our portfolio, enables us to partner and core adjacent categories and helps us delever our balance sheet. We've also taken steps to optimize our European joint venture. We reduced our majority stake in Advantage, Smollan Limited, a joint venture with Smollan group to a minority stake of 49.6%, in exchange for cash and other considerations. This transaction will ultimately simplify our reporting and help Advantage reduce back-office complexities and expenses, while allowing us to continue our constructive partnership, with the Smollan group. Finally, last October, we sold Atlas Technology Group to Crisp, which will empower CPG brands, with better data and serve as the data acquisition technology platform for Advantage clients. With its cloud-based data-sharing platform, we will collaborate with Crisp to offer clients, sophisticated supply chain analytics, with an expanded retail footprint. All of these transactions, from our recent divestitures to new collaborations, with world-class providers, will make Advantage stronger, more nimble, more competitive and better enable us to drive our brand clients and retail customers' businesses. We have a record of success with client relationships that have lasted for decades. In fact, among our top 100 clients, the average relationship duration is north of 15 years, with over 90% retention over time. This track record of client retention and these recent divestitures and collaborations, serve as the foundation that will allow us to focus our efforts and reinvest in enhancing our capabilities, from talent to technology. As a critical accountability lever, our enhanced processes and platforms will enable us to strengthen relationships and be our clients' strategic partner of choice. We know our long-term success is tied to the people we employ, and the talent we develop. That's why, we're committed to putting people first and building an environment of belonging, where our teams can work and win together. Recently Newsweek recognize Advantage, as one of America's greatest workplaces for Diversity in 2024. We are creating a culture that attracts top talent and remains committed to improving retention across our business. We hired over 2,800 net new employees in 2023, supporting continued improvements in our in-store merchandising and demonstration businesses. We continue to prioritize reducing turnover across our enterprise, with significant improvements with our part-time employees, over the year. Most notably, the year-over-year turnover rate improved in the fourth quarter by approximately 10%, in our sampling and demonstration business and approximately 20% in our retailer merchandising business. We are pleased with these improving trends, as Advantage employs tens of thousands of teammates, most of whom are on the frontlines with consumers. Our transformation roadmap is based on a comprehensive understanding of the macro environment, market trends and competitive landscape. Nearly, every major trend we're seeing in the market today, aligns with the services and expertise, we offer to our customers. Put simply, with our position at the intersection of brands and retailers, and brick and mortar and e-commerce, we believe we have an unparalleled understanding, of the challenges and opportunities, our clients and customers face. That means, we can provide strategic services and solutions faster, more efficiently and in many cases better than they can themselves. Our depth of experience, agility and speed, can help offset some of the headwinds their businesses face while identifying new paths to growth. Here some of the trends we are seeing today and advising our clients and customers on. First, from retailers, we see an appetite for innovation and a growing desire to expand private brands with encouraging indicators for the food and personal care industry. This bodes well for our private brands business which continues to serve as a key partner to dozens of retailers. Second, with broader inflation reverting to more normal levels. Pricing in the food category stabilizing, encouraging more typical shopping patterns. In 2024, we expect to focus for CPGs and retailers on unit volume growth, given the declines in most categories in 2023. And we are seeing early signs of this with innovation and SKU count increases. Our Q1 2024 advantage Outlook Survey of nearly 100 retailers and CPG manufacturers indicates that almost 80% of manufacturers are planning for unit growth, listing innovation and expanded distribution as top drivers. Our retail merchandising team support both innovation and distribution growth through their unparalleled capabilities and capturing opportunities at retail. Retailers on the other hand are less optimistic. Just 44% are planning for unit volume growth. They're relying on promotions and the expansion of private brands as the drivers. In fact, 60% of retailers in our survey named private brands as one of their top three strategies to deliver value to their shoppers over the next six months and promotions are on the rise. Last year almost 30% of units sold at retail were on promotion, a number that's risen each year since 2020 but remains below pre-pandemic levels. Next we continue to see food away from home pricing outpace food-at-home, given the different cost dynamics and competitive aspects of retail and restaurants. This trend will likely continue and serve as a tailwind for growth in retail food sales. Finally, US consumers appear incredibly resilient. However, there is persistent uncertainty in growing pockets of financially strained shoppers. A return of student loan repayments and high interest rates are expected to continue impacting this segment of the US consumers. Manufacturers and retailers are recognizing the need to cater to two distinct sets of consumers at the same time while managing costs. Two-thirds of manufacturers and retailers surveyed indicate they're satisfied with current staffing levels and plan no meaningful changes over the next 12 months. This requires retailers to scrutinize their shelf sets to meet different consumer needs in different stores and we are able to help them execute more strategic planograms in store through our retailer services team. Let me conclude by stating we are excited about the opportunities ahead in 2024. As we ramp up activities to execute our strategy for growth acceleration. We also expect revenue and adjusted EBITDA growth. Excluding the in-year impact of the completed divestitures. We are steadfast in our mission to generate demand for consumers brands and retailers, converting shoppers into buyers in every way they shop. Advantage is uniquely positioned at the intersection of CPG brands and retailers, physical retail and e-commerce and national and private brands. We leverage leading capabilities, spanning the path to purchase that are essential and sticky no matter the market conditions and cultivate enduring relationships across the national retail ecosystem, serving as a strategic consultant and delivering customized solutions fuel growth. We know that when end to end demand generation is done right, shoppers turn into buyers. With that I'll turn it over to Chris for more on our financial performance and outlook.
Chris Growe: Thank you, Dave. Our recent divestitures and new collaborations underscore the discipline of our talented team in transforming our business. I remain excited about what is to come for Advantage, with 2023 service a strong baseline for the expected growth. You've seen our financial results, so allow me to highlight four insights into our performance. First, our team has delivered an improved adjusted EBITDA performance in 2023, especially in the fourth quarter. Adjusted EBITDA was $424 million for the year and $115 million in the fourth quarter. Excluding foreign exchange and divestitures, the year-over-year change was a decline of 1.7% in 2023, an increase of 4.4% in the fourth quarter. The growth driver came from the marketing segment due to the continued recovery of in-store sampling and demonstrations. As a reminder, advantages in most of the largest US grocery and big box retailers and many choose Advantage as their exclusive in-store sampling and experiential marketing provider. In-store event counts increased 21% year-over-year in 2023, which represented approximately 79% of 2019 total pre-pandemic sampling volume. In the fourth quarter, event counts reached 83% of 2019 levels, representing nearly 11,000 events per day. We expect 2024 to showcase continued sequential recovery of accounts. In a recent retailer study, 91% of shoppers said sampling a product influenced their first decision and approximately two-thirds reported making repeat purchases of that item. Second, we implemented pricing initiatives in both segments helped offset the majority of the $120 million of wage and benefit inflation incurred in 2023. These pricing actions represented more than one-third of the revenue growth over the course of the year excluding FX and divestitures. We feel good about continued pricing actions and the wraparound benefit they will produce in 2024 relative to tapering inflation. Third, the actions taken to simplify the business had an impact on our comparable financial performance. For context, the in-year 2023 impact from completed divestitures on revenue and adjusted EBITDA, including the deconsolidation of our European joint venture was approximately $532 million and $17 million respectively. We are actively exploring additional opportunities in 2024 to focus efforts on our core capabilities even further. Finally, partially offsetting the benefits to our performance was a decline in activity due to budget cuts from a large customer, the intentional exit of a client and the aforementioned inflationary cost pressures. These offsets and the divestitures explain the reported revenue adjusted EBITDA and margin year-over-year decline in the sales segment in the quarter and for the full year. Moving to our balance sheet. We continue to prioritize opportunities to reduce the net leverage ratio in a higher interest rate environment. For the fourth quarter, our net debt to adjusted EBITDA was approximately 4.2x relative to the 4.5x at the beginning of 2023. Our long-term objective is to reduce the net leverage ratio from current levels to below 3.5x. We continue to emphasize working capital management, which allowed us to convert approximately 101% of adjusted EBITDA to adjusted unlevered free cash flow for 2023. In line with the prior quarter, our debt profile remains healthy and we have no meaningful maturities in the next three years. During the quarter, we voluntarily repurchased approximately $57 million in a combination of term loans and secured notes at an attractive discount and will continue to monitor opportunities to deploy capital that deleverages the balance sheet while generating a favorable rate of return. As of December 31, our total funded debt outstanding was approximately $1.9 billion with nearly 89% of that debt hedged or at a fixed interest rate. Turning to our outlook for this year. We remain pleased by the deliberate steps to improve our financial discipline, combined with a steady economic backdrop. As such, we are planning for low single-digit growth in revenues and adjusted EBITDA after considering the impacts of the completed divestitures. We currently expect adjusted EBITDA performance to be weighted towards the second half of the year due to accelerated investments in technology and talent in the first half. Our guidance contemplates the continued realization of pricing, which we believe can help offset persistent wage inflation which is currently running at a low to mid single-digit rate. We expect to grow in-store sampling and demonstration events as we recover toward pre-pandemic levels in 2019. We continue to assess our portfolio to ensure we leverage our core strengths for profitable growth. To that end, we've chosen to exit two client relationships in the first quarter. These client exits will weigh on revenues and have a more muted impact on adjusted EBITDA throughout 2024 and for the avoidance of doubt incorporated into our outlook for the year. As a reminder, our operational scale is unmatched with more than 3,500 CPG brand clients across over 15 trade channels. We support nearly 100,000 stores allowing us to evaluate retailer needs and effectively enable them to address their priorities. Despite the benefits of this breadth of offering, there are times in which we view client exits as necessary and economically attractive for us to achieve our long-term strategic goals. Our guidance also considers the completed divestitures in 2023 and year-to-date. However, our guidance does not include the impact of additional divestitures that may be contemplated simplify the business further. Share repurchases remain part of our capital structure strategy, mainly to offset employee incentive related dilution, and to take advantage of what we believe is an undervalued stock price. In 2023, we repurchased approximately 2 million shares for $6.4 million and traded a small foreign asset for over 2 million incremental shares in the fourth quarter. We've repurchased more than 2.5 million shares so far in 2024. 2024 will be the beginning of a three-year period of investment to modernize, differentiate, and transform the organization. Under our new shared services model, we plan to build technology platforms for data modernization, cloud-based capabilities, including AI, and other tools to improve operating efficiencies. A significant portion of the planned investment is to upgrade old systems to enable enterprise-wide operations compared to the siloed way we operated in the past and migrate our information to the cloud. The largest of those initiatives will be an ERP upgrade as our current system is approaching the end of its useful life. We expect to complete the implementation sometime in 2026, and we believe the upgrade is necessary to ensure that we deliver best-in-class service to our clients. Once complete, we expect a fully integrated modern system to simplify internal operations and improve our responsiveness to our clients. We believe the system upgrade will result in a DSO reduction, along with cost savings and business efficiencies, by 2026. In terms of upfront financial considerations, we expect to spend approximately $160 million to $170 million of CapEx related to all of these technology initiatives through 2026. As a result, we expect CapEx this year to be $90 million to $110 million, compared to the $46 million spent in 2023. This represents enhanced spend related to the aforementioned ERP program, other IT initiatives including the data modernization and AI capabilities, retail execution platforms, the GenPact and TCS outlays, and ramp-up related to our new sampling demonstration account. We expect capital expenditures to taper in 2025 and return to historical levels in 2026 as project-related IT spending diminishes. The total investment for the ERP project is estimated to be $70 million to $80 million, split 75-25 between capital and operating expenses, the majority of which will occur as one-time expenses. This investment will be phased in over the next three years, with over 40% of total spend occurring in 2024. The investments and actions we plan to take will not only heighten CapEx in the near-term, but also have OpEx and one-time expense implications, likely resulting in unfavorable comparisons to last year for net income and EPS. For the avoidance of doubt, our adjusted EBITDA guidance does contemplate these investments. Despite these significant capital outlays, which we view to be critical to our business, we expect to make significant progress to our long-term net leverage target over the course of 2024 and 2025. We are looking forward to an exciting year in 2024. As a reminder, we plan to report financial results with our three new segments, experiential, branded, and retailer services on our next quarterly earnings. Thank you for your time. I'll now turn it back over to Dave.
Dave Peacock: Thanks, Chris. The people of Advantage have done tremendous work growing the company to what it is today. Our teammates wake up daily focusing on serving the brands we represent and retailers where they work while enriching lives in our communities. It's our job to enable their efforts and help them realize their personal and professional goals, critical steps to becoming the employer of choice we endeavor to be. But we are always proud to celebrate our strengths and successes. We remain unsatisfied. That healthy tension creates the energy and momentum we need to realize a better future for Advantage Solutions. We will now take your questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Greg Parrish with Morgan Stanley. Please proceed with your question.
Greg Parrish: Hey, good morning. Thanks for taking my questions. And thanks for the slide on the divestiture detail, as well as the enhanced guidance slide. Those were helpful. I just wanted to start with a strategic review or portfolio review, I guess, more specifically you've done a lot in a short amount of time. And I don't mean to minimize that. But these were there clearly non-core assets at least from the outside. So as from here, do you think the portfolio optimization is largely complete and it's maybe only small divestures from here is that premise not correct at all?
Dave Peacock: Greg, this is Dave Peacock. Thanks for the question. And I would say that's probably not correct. We're continuing to go through a portfolio. We see opportunities in areas as we refine what our core business capabilities are. And obviously I don't want to comment on any -- you know processes are activities underway. But I would say that is it is probably not true that we only have smaller divestitures going forward.
Chris Growe: Greg, I'd just add -- it's Chris Growe here. I just want to add a comment but we're being prudent as we go through the portfolio. And certainly a lot of things can affect that I think focused on the core refining businesses that are not such a distraction to management. And then I just want to be clear that you know any sort of proceeds would come from divestures would be used for debt paydown. So just to reiterate that point.
Greg Parrish: Yes. Okay, great. That's helpful color. So thank you. I wanted to ask about the systems investments here I guess one point of clarity. So the I guess this is slide 15, the $160 million to $170 million that's all inclusive. So that's inclusive of the ERP as well. Clarify that? And then I guess second part of it, I mean, how are you thinking about payback on this right? It's kind of a big investment and you see payback just on the efficiency side where you have a huge expense base obviously. So maybe it's bringing that down or do you need to see some of the revenue opportunities. I think you put on the slide here unlocking value of data and analytics and creating new opportunities. So do you need does that come through to kind of see payback on this? Thanks
Dave Peacock: Yeah to some degree yes, Greg. You know, I think you've got a couple of things going on. First the ERP system which is going to significantly streamline our financial processes, improve our speed in voice and really just improve the information flow within our finance groups. That then goes out to our business groups -- business units for quicker decision better decision making I think. And then when you look at the well haul data modernization which is the daily cloud migration -- some of this comes in the avoidance of expenditures on costly data centers and equipment when you're using the cloud. And then a lot of it comes from enabling things like AI. And I know that's a buzzword right now, but and so we're already doing that in areas like for employees, we're looking at payroll inquiries and policies, accelerate our candidate screening, the quicker we can get the higher the better as it relates to both attraction and retention contract management. And then for customers there's a lot we can do as it relates to the validation of the work we do on -- and using AI and photos in a more in a more advanced way than we are today on just determine patterns and help with our routing of personnel so we get more efficiency on that as well.
Chris Growe: Greg I can just add a little bit more color there on maybe what some of the financial side just at the level of spending. We put it in the release and the script the sub - over 40% of the spend is going to be this year. So it will taper in 2025 and again and by 2026 year essentially back to historical levels. So that will get us there. So there's a bit of a surge this year, a little bit more next year and then a little this year -- I should say will next year incrementally and then we'll be back to normal in 2026. There are efficiencies that come from this. There's DSO improvement. Is this will help support our cost reduction programs? But this is also as Dave said an enabler, right? This is going to help us on really better support our customers and our business. And that's where the key area of upgrading the previous system. That's going to really, really, kind of, hopefully support incremental growth of the business. I think beyond that just that the level of spending will be a little higher this year and then you will see less investment going forward.
Greg Parrish: Okay, great. Thanks. Super helpful. I guess one more for then. I just wanted to ask about the client access. I think you called out two more this quarter is a big one last year. Would you give some color on those? Are they 100% initiated from year end? Kind of what are the competitive dynamics that are at play? I know you call them client exits, but I assume competitors are still competing on cost as they've done in the past and do kind of that are they ramping up on their sort of cost competitiveness and you do that as a risk going forward? Thanks.
Chris Growe: I would just add, it's Chris Growe here. Greg I would just say that we've talked about a relatively calm and competitive environment and it remains that way frankly. These are decisions we made internally to exit clients that will have an effect on the business. So I'd just say that I think of the kind of top line effect in less than 2% of revenue. But it's a meaningful enough number you want to call it out. I just think you're going to see less of an effect on EBITDA as a result and it might help explain why there some decisions you made here on some of these client exits.
Greg Parrish : Right. That's helpful. Thank you guys very much.
Dave Peacock : Thanks Greg.
Operator: Our next question comes from the line of Joseph Vafi with Canaccord Genuity. Please proceed with your question.
Joseph Vafi: Hey, guys, good morning. Thanks for all the information in the release and presentation. Some maybe we just start at a high level. And maybe just Dave go back to your prepared remarks around and where you sit at the intersection of some of these businesses. Just wondering where are you where you would kind of largely bucket revenue that touches e-commerce today and how you see -- how you might define that bucket of revenue and maybe compare and contrast it to other pieces of business in terms of growth opportunity and things you're seeing. And obviously, you're just bringing in a new Chief Revenue Officer as well. So that may tie in to this question as well. And then I'll have a follow-up.
Dave Peacock : No appreciate, Joe. Some so on e-commerce a couple of things. First, on kind of maybe around if not a little less than 10% of revenue. If you look at either or through e-commerce it is an area where I think we have a lot of opportunity. And it's an area where we're investing some. And this would kind of be in what I'd say is our normal kind of IT investment level. So in other words, as Chris said, we've got increases for ERP data monetization, which will also help our e-commerce efforts is the data monetization. And then we have some CapEx increases to keep up with our on the demo business. But I'm both very bullish on e-commerce right now. What I will say though which is interesting as e-commerce has returned back to sort of that 10% growth rate dipped a bit in the fourth quarter overall not just for us, I'm talking about overall industry. And it's still a pretty small share of total and grocery sales if you will. So the share growth is pretty de minimis. And as we've done -- we've put up -- done research with our CPG partners and a lot of our retail partners. And I got to say e-commerce kind of comes in fit fix as far as what they see as a lever to drive growth. So we see a lot of opportunity there. We think we've got a lot of headroom in the industry and on an opportunity frankly to hopefully capture share in that space. At the same time I think we have to be realistic to the fact that brick-and-mortar still critical both to the industry and to our business.
Joseph Vafi: Fair enough. That's good color. And then secondly I just wanted to drill down a little bit. I know I think maybe was Chris mentioned employee turnover was down pretty strongly in Q4. I'm just wondering were there any specific changes you did there to bring that employee turnover down or just how you see that employee turnover outlook here in 2020 for things like that. Thanks a lot guys.
Dave Peacock: Thanks, Joe. Yes, I would say we're on the front edge of a lot of our work relative to high volume talent turnover is improving. I'd say a lot of that is macro market on the labor markets are loosening a little bit. They're still tight tighter on a historic basis, but they're loosening a little bit. And there have been there's been less job growth in kind of the retail and professional services spaces in the last most recent quarters are more kind of broadly in the U.S., which is probably giving us a more availability of labor. But there's a lot of initiatives we have underway and I mentioned speed the hires are critical and we're looking a lot at doing things around first 90 days. I mean like most businesses, you can imagine in a high-volume talent base. If you can keep someone 90 days, your likelihood of retention is much higher on. So there are a number of initiatives we have against that. So, we're very bullish about the ability to leverage better talent management to drive retention. And I think the other thing, and you had you didn't ask it but I think it comes up a lot is on the wage side. Obviously, wage inflation still is high relative to historic averages. We do see it on improving a bit. Our overall wage inflation is kind of in line with broader retail from an ROE standpoint. But, there are opportunities for efficiency as far as the processes what we do on in-store. And obviously, if we can reduce our turnover, we bring our recruiting costs down pretty dramatically, which is really important for our business.
Joseph Vafi: Great. Thanks a lot, Dave.
Dave Peacock: Thank you.
Operator: Our next question comes from the line of Faiza Alwy with Deutsche Bank. Please proceed with your question.
Faiza Alwy: Yes, hi. Thanks and good morning. So, I wanted to talk about the three pieces that you had previously mentioned that are branded, retail and experiential. And I think Chris, I heard you say that next quarter, we're going to start getting, and you said that you're going a segment on that basis. So, just curious if you can give us an overview of how those individual pieces have performed in 2023 and what the expectation is for 2024?
Chris Growe: Yes. So, we'll give that information in the first quarter Faiza, and I just would say that the business as we rounded out the year within the old format will have the newbie on the new segments going forward. I should say that the sales segment as you think about it, largely aligns with branded services with some pieces that would go into retailer services. And then experiential is a chunk of the marketing segment. So, I think you're just going to -- it's going to be kind of pieces of each one that then move into each segment. I don't have information I can share with you on the 2023 performance. I know we have a slide in the deck that outlines kind of the rough revenue breakdown by segment, but I think until we report that way and frankly, we'll cut the numbers that way. I'll hold off in giving you much perspective on those individual segment performances.
Faiza Alwy: Okay. That's fair. And then just on like side 5, where you talk about, where you show the data around sampling and demonstration. It sounds like -- was there a tick down and how are you thinking those trends? Are we -- I guess are we at a more normalized level now?
Dave Peacock: We are continuing to see event recovery with some of our three key customers, although we've made a lot of progress and we have some key customers where we're well over 90% which is great. And those are the customers that kind of turn those businesses back on if you will or if you will earlier. So, when different customers chose to kind of reengage on experiential services on varied a little bit? So, I'll be honest, we were very optimistic about this business. It performed very well for us in 2023, and we're optimistic around 2024. A lot of initiatives, as I mentioned, against the high-volume talent, which affects that area a lot, more talent we can get in and keep the better our execution rate is, and as we progress into some reporting out first quarter of 2024 and forward, we're going to start sharing information. That's not just a look back at how we compare to 2019. We're going to go through and it's been almost five years. So we're getting to a point where we have to look at maybe a little bit other data and others are going to have new segments, it gives a better indication of how those businesses are performing.
Chris Growe: Faiza, I can just add a little color there. If I go back to Joe's question about turnover and the other side of that the retention, it's the less turnover, obviously, more employees. It allows us to execute more of these events, more of this in-store work. So there's a direct benefit to the Company by having less turnover, having more employees on the payroll. We did make good progress in the fourth quarter. We got over 80%, I think we’re 83% as we sort of ended the year on events versus 2019 as base that is that the right measure, I think there's other ways to better measure that business. But we got back to 83%. I just would say that in 2024, we should exit the year somewhere in that 90% range. So we'll make progress throughout the year. And then, I just also want to add that there's -- we talked about in our prepared remarks, a new customer -- a large new customer that we’re the experiential partner for them, so that that will be ramping throughout the year in fact for this part of our capital that we're spending this year. So I just want make sure I make that note there. So there's some really good progress there and that will be a continued growth driver in 2024.
Faiza Alwy: Great. Okay. And then just going back to the client exits, are they in a particular area or particular service areas or the retailer. Can you give us a bit more color around what type of services you're providing where you're finding that you're not getting a great time?
Dave Peacock: Thanks Faiza. I’d say it's primarily in areas that is in the retail merchandising space, not exclusively but primarily. And as you're looking at what we have is a hybrid model of both dedicated teams where they're dedicated to a specific client and then you've got syndicated teams. It's really optimizing on the routing and frankly the hours of those syndicated teams on where we're tracking this down to our utilization detail. And that's when those exits are determined and they're done, obviously, in conjunction with the clients. It's not something where we pull the rug out from under them. We have detailed conversations and ultimately come to the decision to move on and ensure that we're going focusing and taking care of the clients that we’re retaining.
Faiza Alwy: Got it. And then just last one for Chris. I know you haven't provided a cash flow guide. And just curious given you're going to incur some of these one-time charges around technology investment, how should we think about free cash flow conversion in 2024?
Chris Growe: Yeah. So we did offer a free cash flow guidance for this year. So I know it's the first time we've done that, so maybe that caught you by surprise.
Faiza Alwy: Yes.
Chris Growe: That’s okay. So I'm happy to give you some color on that Faiza. So we're going to call it 55% to 65% of our EBITDA will be unlevered free cash flow. So incorporate all that incremental CapEx. I also want to add that for the year we've assumed that our DSO holds constant. And look I want to reiterate, we had great progress on working capital in 2023 by the way on this metric of unlevered free cash flow we were 101% of EBITDA in 2023. So a lot of that being driven by this really strong working capital performance. So it's going to be hard to lap that. No question, but there's a lot of process change and real emphasis and focus internally on improving our DSO to hopefully drive stronger working capital performance, again I just don't want to commit to that just yet as we're doing some work and we made some great progress in 2023. So I think you'll still see a very good unlevered free cash flow performance for the year even inclusive of the CapEx we're going grow our EBITDA and what we're spending on this and on this capital and we're going to have very strong I think unlevered free cash flow.
Faiza Alwy: Great. Thank you so much.
Dave Peacock: No worries. Thanks. Bye.
Operator: Our next question comes from the line of Tyler Pierce with BNP Paribas. Please proceed with your question.
Tyler Pierce: Hey, good morning. Thanks for taking my questions guys. Very promising to see your leverage target here, you had alluded to continued debt paydown, but any reason to prioritize your notes going forward as they trade at a larger discount relative to your term loan? Thanks.
Chris Growe: So the answer to that is we'll kind of assess the market conditions like I said that way as we go through the year, and as you'll see in the fourth quarter, we did repurchase some notes that basically the trading levels allowed us to do that, and it made for the proper return in relation to our first lien term loan. So I would just say that throughout the year, we'll assess that. And I would just say that we're looking at all of that. I do want to reiterate that we'll use cash. We have ended the year at $126 million-plus of the cash. We'll use internal cash flow generation through the year and debt proceeds all of those will be earmarked or pointed towards debt reduction through the year. So we'll have those opportunities to make those choices as we go through and we'll look at that trading level to determine that.
Tyler Pierce: Great thank you. And just one more in kind of the context of your answer there, how should we think of a minimum cash balance as we go forward?
Chris Growe: Yeah, I think that in the range we're in today are little below that is probably a realistic level of cash for us. So I think that $100 million-plus range is probably the best way to think about that. I don't see us necessarily dipping below that, we always could of course we have an ABL as well. We can tap into for cash flow needs. So we've got a lot of flexibility here today and again not to reiterate it again, but just no real maturities here in the short-term. So we've got the ability to be a little bit more aggressive on that. So I think the $100 million range is a good level to think about it.
Tyler Pierce: It's cool. Thank you guys, and great quarter.
Chris Growe: Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Dave Peacock for closing comments.
Dave Peacock: Thank you, operator. We believe there is so much value to unlock here at Advantage. So led by a great team of committed people, which is a competitive advantage for our company. We have a right to win with essential services, talented team mates, deep relationships, significant upside to grow the business and create more value for our stakeholders. Together we're making swift progress in implementing the right plans to enable this organization to evolve and grow, focusing on simplifying our structure and processes, enhancing our capabilities and strengthening our financial discipline and analytical rigor. So thank you again for your time today, and look forward to speaking further on our first quarter call in May.
Operator: This concludes today's teleconference. You may disconnect your lines at this. Thank you for your participation.